Operator: Good afternoon and welcome to Poste Italiane First Quarter 2024 Results Conference Call. Matteo del Fante, our CEO, will take you through some opening remarks and then Camillo Greco, our CFO, will cover the financials. This will be followed by Q&A session, where you can ask questions either by phone or to our webcast platform. Please limit yourself to two questions. Over to you, Matteo
Matteo del Fante: Thank you, Giuseppe. Good afternoon and thank you for joining us. I'm pleased to report that Poste Italiane had a strong start of the year with overall group revenues at over €3 billion, with all business segments in-line or above targets. Our cost-based management remains a key focus as we continue to successfully mitigate inflationary impacts. EBITDA for the quarter is at €7.6 million, up 14% versus last year, if we exclude the higher contribution of active portfolio management revenues in the first quarter of 2023. Commercial trends have been supportive in all businesses as customers continue to see Poste Italiane safe haven for their savings and the go-to place for the majority of their daily needs. We continue to see positive net flows in asset management and insurance products, while retail deposits remain resilient in a challenging environment. We deliver solid results while maintaining a strong balance sheet. At the end of June, we will pay the balance of the 2023 dividend for €729 million for a total of over € 1 billion dividends paid on 2023 results, equivalent to $0.80 per share. I am also pleased to announce that the Board of Poste Italiane and CDP have approved a term sheet outlining the key terms of the renewed Postal Savings Contract. The agreement covers 2024-26, so it appeared and is fully in-line with our targets as well as our aim of preserving a stable stock of savings over the planet. Let's move to Group Financial Results on slide 4. Total revenues are over €3 billion, up 6% year-on-year excluding active portfolio management. Total costs came up €2.3, up 3.7% year-on-year, reflecting business growth and benefiting from actions to mitigate inflation impact. As a result, for the quarter EBITDA is at €7.6 million and net profit is at €5.1 million , up 14% and 16% respectively, excluding APN. On slide 5, you can see a healthy underlying revenue progression across all our businesses. In Mail parcel and distribution, revenues were driven by growing parcel volume as well as stable registered Mail volume and repricing actions more than offsetting unregistered Mail volume decline. In financial services, revenues were up 5% in the quarter excluding APN, supported by strong NII and postal savings fees as well as positive underlying business momentum in consumer loan and asset management fees. Insurance services revenues were in-line with guidance with the resilient life investment and pension businesses, growing volumes and improving profitability in protection. We continue to record the positive life net flows outpacing a challenging market and our lapse rate remains well below market levels. Post-pay services continue to grow double digits, supported by increase in card and digital payments and our leadership in e-commerce transactions. All products of this business unit are contributing to revenue growth, including our successful new energy business. Let's go to slide 6 and EBITDA evolution by segment. Mail parcel and distribution shows a €71 million EBIT improvement compared to the first quarter of 2023 excluding APN, supported by a strong revenue momentum. Financial services operating profitability is resilient and reflects revenue trend and higher distribution network cost. Insurance service EBITDA is in-line with our plan, representing the lion's share of Group EBIT. Finally, post-pay services double digit EBIT growth is driven by strong top-line performance. Let's now move to a more detailed review of our numbers by our CFO. Over to you Camillo, please.
Camillo Greco: Thank you Matteo and good afternoon everyone. Let's move to slide number 8. Mail parcel and distribution revenues are up 5% to $134 million. Mail revenues at $535 million were up 3% year-on-year, thanks to ongoing replacing actions as well as favorable product mix supported by stable volumes of higher value registered Mail. Let me remind you that our business plan embeds $100 million lower Mail revenue every year. So far we have not yet experienced such a decline. Parcel revenues were up 10% to $368 million, supported by healthy B2C business, with increasing volumes compensating the reduced contribution from the COVID logistics mandate as well as the Sender Italia deconsolidation. Adjusting for these items, parcel revenues are up 14% in Q1'24. Distribution revenues from other business units are up 9% in the quarter, excluding impact of active portfolio management, reflecting positive commercial trends and compensating for higher network costs. Let's look at volumes and tariff on slide number 9. Parcel volumes were up 21% in the quarter, driven by healthy B2C growth, with 38% of items delivered via the postal network. Looking at pricing, the slight reduction in parcel tariffs in the quarter is related to a mixed effect, with increasing volumes with lower tariffs as well as lower delivery unit costs, with items delivered to our third-party network increasing over 20%. Moving to Mail. Lower margin on recorded Mail volumes continue to decline in the quarter, driving the overall 9% volume reduction. However, stable volumes of higher margin registered Mail and effective repricing actions have led to the strongest increase of average tariffs in 2016, plus 12% year-on-year. Moving to financial services on slide number 10. Gross revenues for the quarter came at 1.6 billion, up 4%, excluding the impact of active portfolio management. Net interest income came at $590 million in Q1, up 8%, supported by growing asset yields, resilient retail deposits, and low cost of funding. Postal savings distribution fees amounted to $430 million, up 1% year-on-year, and in-line with business plan target. 00 Transaction banking fees were impacted by lower current accounts repricing applied from April 2023, leading to $186 million revenues, down 8% year-on-year. Consumer loans distribution fees reached $62 million, up 41% versus Q1, driven by higher volumes coupled with increasing upfront fees in a stabilizing interest rate environment. Asset management delivered enabled another remarkable quarter, reaching $45 million revenues, up 54% versus Q1, 23, supported by strong inflows. Finally, EBIT came in at $199 million, reflecting revenue trend and higher distribution network costs. Moving to slide 11. TFA has reached $586 billion, up 5 billion since the end of 2023. Let's look at each component. Insurance net inflows were at $0.5 billion, containing the outperformance in a challenging market. Deposits were up, benefiting from higher balances from TA clients, while the retail deposits were resilient to $56 billion, confirming the stickiness of our customer base. Postal savings outflows were related to lower postal bonds gross inflows, while we recorded new liquidity in postal books. Finally, let me highlight the impressive $S1.3 billion net inflow of mutual funds, the highest ever quarterly inflow we have reported on this product. Moving to slide number 12. Insurance services revenues amounted to 397 million in the quarter, in-line with our plan. We continue to have positive net inflows in Q1, 24, with a lapse rate of 5.5%, still well below market levels in a tough environment for life insurance investment products. Life investments and pension revenues are slightly down 3% to $363 million in the quarter, driven by a lower release of risk adjustment as a result of lower maturities, partially compensated by higher CSM release. Protection revenues were up a strong 78% in the quarter, supported by higher GWP in protection and net insurance consolidation, which represents an accelerating enabler for the growth of our protection business. In fact, protection GWP were up 29% to $312 million in Q1, of which $50 million from net insurance. The combined ratio was 85% for the last quarter, in-line with our guidance and improving versus last year. EBIT of $349 million is up 4%, compared to Q1, 23. At present, we are not accounting for system charges related to the insurance guarantee fund, as we are still waiting for the implementation details. As a reminder, these charges are not included in our EBIT targets over the plan. On slide number 13, we show the CSM evolution in the quarter. Normalized CSM growth is positive 0.4%, with new business and expected return, more than compensating the quarterly release. Group CSM at the end of the quarter was up to $13.8 billion since December 2023, providing strong visibility on the division's sustainable profitability going forward. Let's look at the solvency ratio evolution of slide 14. Post-EBITA Group Solvency 2 landed at 313% at the end of March 2024, up 6 percentage points from December 2023, and well above the managerial ambition of circa 200% through the cycle, already embedding the new remittance ratio of 100% to the current company. The improvement was mainly related to the positive impact from economic variances, driven by the decline in BTP spread in the last quarter, while the internal capital generation of the business fully covers the foreseeable dividend, even with the higher remittance ratio. Solvency 2 ratio continues to be strong and is currently between 295% and 310%. Moving to post-EPAY services on slide number 15. Revenues continue to rise double-digit, reaching 379 million in the quarter, up 17% year-on-year. Payment revenues grew by 14% to $283 million in the quarter, as we lead the continued structural shift from cash-to-card-based and digital payments, and confirm our leadership in e-commerce payments, up 16% in Q1 2024. Telco revenues grew 2% in the quarter versus last year, supported by the Fibre offer. Finally, positive commercial trends in our energy business are confirmed, with $15 million net revenues in the quarter, a substantial growth year-on-year. Yet again, thanks to strong revenue growth, EBIT grew a remarkable 32% to $117 million in Q1, supported by all businesses. Let me highlight that the comparison with Q1 2023 is now fully on a like-for-like basis, as the list was consolidated since September 2022. On slide number 16, we look at our workforce evolution. Since the end of 2023, the average income decreased to 118,000, as we continue to renew our workforce with 2,200 new hires in the quarter. HR costs per FT are up over 4% to €47,400, as a result of salary increases and other items, such as variable compensation, with the value added per FT growing over 2%, now at almost €84,000 per FTE. Moving to group HR costs on slide number 17. Overall, ordinary HR costs are up 3% in the quarter to just under $1.4 billion, with higher compensation partially mitigated by lower [indiscernible]. In the quarter, ordinary HR costs on revenues are stable at 42%. Moving to slide number 18. Non-HR costs increased by $62 million year-on-year. In particular, COGs were up $70 million, mainly driven by $51 million of additional variable costs reflecting our higher business volumes, and 30 million inflation impact, while non-inflation-related fixed COGs decreased by $11 million. More in general, our focus on cost discipline remains laser sharp, and protecting the bottom line profitability remains our top priority. Thank you for your time. Let me hand over to Matteo for the wrap-up.
Matteo del Fante: Thank you, Camillo. At our Capital Markets Day two months ago, we set out our strategic plan, the Connecting Platform. Aiming at reshaping our business to continue generating substantial growth. We have established ourselves as the largest digital platform company in Italy, committed to serve the largest client base in the country, catering for both long-term and everyday needs. This is our first progress report against our journey, and it is a strong one. We deliver high-quality results across the board, and from each of our business units, supported by positive commercial trends in our products and services. We are executing our plan with a continuous focus on cost discipline, mitigating inflationary impacts. We continue to invest in automation and technology, with the objective to constantly improve customer experience and loyalty. Thanks to our rock-solid capital position and sustainable profitability from our well-diversified business model, we are well on track to meet our financial and shareholders remuneration targets. Giuseppe, over to you for the Q&A.
Operator: Thank you. Thank you, Matteo. Let's start our Q&A session. [Operator instructions] The first question is from Giovanni Razzoli at Deutsche Bank. Go ahead, Giovanni.
Giovanni Razzoli: Thank you, Giuseppe. I have two questions. The first one is on the GDP agreement, which, if I'm not mistaken, envisages a remuneration of $1.6 billion- $1.9 billion. Can you remind us what were the assumptions that you have incorporated in your business plan? Because it seems to me that you have the possibility to exceed the target of the business plan, and as usual, it seems like you have been prudent on this. In order to achieve the top of the range, what would be the targets in terms of inflows? If you can share with us if something has changed compared with the previous scheme of remuneration. The second question refers to the quality of your revenues in the financial services division, because we have seen that the banks have reported very strong fee generation in the Q1, mainly thanks to the upfront contribution, which seems to me that a very low portion of your revenue stream. Can you share with us any details on this so that we can compare the performance with Apple? So, thank you? Thank you.
Matteo del Fante: No, I think that it was very important to find an agreement with CDP and having a three-year agreement allows us to start this plan and this journey with the right contract in place. In terms of the upside versus the top of the range and what we had in our figures in the plan, I can tell you that from the range of targets we agreed in the plan, I would not anticipate to be close to the top of the range. Okay? So, I think, having a book for 2023, $1.73 billion, all we can say is that we are in a continuity slash marginal improvement over last year. The more important objective we achieved in the new agreement was finding the right support in terms of product offering, which, as you have seen in the last two years, is coming from CDP with a lot of quality and commitment, and this has been re-established in the new agreement. And the second item, it was also important for us, given the very significant amount of redemption, maturities and early redemptions, to have targets that are feasible for us, because clearly in the current market environment with strong redemptions, we need to have realistic targets, which was the reason, it took a few extra weeks versus our capital market day to find the agreement. In terms of fee generation, I think, Camillo mentioned, our asset management results in the quarter, but maybe Camillo, you want to add something?
Camillo Greco: Yes, so what you can see in the slide in the financial survey that we increased fees in asset management from 29 million to 45, an increase of 16 million in absolute terms against $1.3 billion of net inflows. At plan for 2024, we have put a 0.2 of number for that line of business, and that equates to approximately 1% on the underlying asset base. Thank you.
Operator: Okay, thank you. The next question is from Gianluca Ferrari, Mediobanca. Go ahead, Gianluca.
Gianluca Ferrari: Yes, hi, good afternoon. The first one is on the commercial performance, page 11. It seems to me that most of the deposit growth is coming from public administration. If we isolate retail deposit and post-pay, and we put together with the inflows you reported in postal savings, asset management, and life, there are little positive flows in the quarter. I was wondering if you can elaborate on the commercial activity only of retail clients. And linked to that, the new business CSM is down kind of 20% year-on-year, if we can have also the new business premiums and the new business margin generated by the life insurance business in the quarter. And the second is on the lapse rate. It seems to me that in general, the lapse rate is kind of normalizing in the sector is reducing. You are definitely much lower than the industry, but the 5.5% is increasing compared to the 4.4% you closed in 2023. So what's going on with the lapse rate again in life? Thank you.
Matteo del Fante: Okay, I can start so that Camillo can prepare himself with the lapse rate, which is the last question. And thank you Gianluca. Yes, it's above the historical 2 slash 3%. We were used to in the low yield environment, but that's when the market was at six. So if I look at 2023 number, official figures from the insurance association, the average for Italian insurance, including post-Italian is 10.4. So I think we're happy with keeping our 50% target versus the market. And that's, I think, quality of the investor base, that we have much lower activity of changing and churning portfolios than our competitors. And that's reflected in the lower lapse. And the first two questions on retail and margin of the new business in insurance, please Camillo?
Camillo Greco: Yes, so for the question on the margin in your business, I guess the best way to look at it is to look at the bridge of the CSM from 31 of December, 2023, to the 31 of March, 2024, which is page 14 of the presentation, where you can see that a new business contributed to $128 million of value to the CSM stock. So I would look at that as a reference point. And with respect to the first point, which is the evolution of the retail deposits, I think that it's fair to say that the first quarter, we have not seen growth in deposits, but that's frankly something that we had planned. And if you look at what we had communicated at the end of March, we already expected to have the deposits relatively stable. I would look at it in a positive way, also noting that we have been able to deliver materially with that liquidity on our NII target, which is up $45 million from Q1, 2023.
Gianluca Ferrari: So if I can rephrase a bit the first question, where are the $2.7 billion outflows from postal products going?
Camillo Greco: Well, I think that you have seen any Italian market, you see that the liquidity on deposit have been going down, and I would argue that we have been performing quite well against those benchmarks. And partially insurance, we still have positive net insurance flows, which is again against the opposite market trend.
Operator: Okay, the next question is from Farooq Hanif, JPMorgan. Farouk, please go ahead.
Farooq Hanif: Hi, everybody, thank you so much, and good afternoon to you all. Just going back on the CSM, the annualized growth rate of 0.4%, it just seems really quite low compared to what you appear to be planning. So can you explain why that is? Is it because the release is just really high in this quarter and that we should assume a lower level going forward? Is it the new business profit, which could be a higher margin going forward? You know, going back to Gianluca's question as well, because the margin of new business on new business sales. So if you could talk about that, that would be really helpful. And then also going back to fees in the banking, financial services. So, I mean, I thought the consumer loans growth and asset management fees was very impressive, it was well above my expectations. So are we seeing a trend here that we can sort of annualize, in terms of growth? Can you talk about the background behind these flows? Thank you.
Camillo Greco: I think, as far as the growth of 0.4 of the CSM, Farouk, and thank you for the question, one has always to remember our business model. You know, we're not here to push products, but we're here to basically offer time after time to clients the best, products that suits their investment appetite. Which means that this specific quarter, we had an outstanding demand, which is part of your second question on mutual funds, which was a record quarter. And those products were much better received by the market in the quarter. The fees related to those products are still in our obviously income statement. And do we think, and I'm jumping into the second question, do we think that this is a trend to stay on the asset management? I think only partially. There is an effect of seasonality. So it's also a matter of when you offer the new fund in the quarter or in the semester, when you offer the new class one or multi-class products. So I think, one should expect over the rest of the year, a reversal, a partial reversal of this trend. But we're fully aware, going back to question number one, that the lower CSM in our estimate is mainly coming from slightly lower new business production than anything else. As far as the fees business of loan distribution, I think the answer is positive. We have, we're growing in terms of market share, specifically in the salary and pension back loans space. We're marginally growing our market share. But the reason why one can be more optimist for the rest of 2024 is because there is some, as you probably know, Farouk, some basic discounting factor effect, which has helped us in the quarter, i.e. the fees that we generate in this business in a lower yield environment, even with the same amount of loans that we distribute is providing a higher upfront for Poste. So if you assume that rates will be stable to declining for the rest of the year, you can be more comfortable on that trend than in other spikes that we've seen in this quarter.
Farooq Hanif: Okay, and just if I may quickly follow up, and I think this partly answers the previous question from Gianluca, but just, you said the new business sales were down. Can you give a percentage drop or a number that we could reference?
Matteo del Fante: No, I didn't say that it's down. I say that we had anticipated probably less of this shift from insurance to funds. And this is explaining the lower contribution to the CSM of the new business. Camillo, you want to add?
Camillo Greco: That's correct, not down. Yes, exactly. We have an increase, and I think we are, we don't have official data from the market, but certainly we were last year the only, or certainly one of the, the only among the reporting large life companies to have positive inflows. It was a couple of billion last year. It's only half a billion this quarter. Could have been more, yes. And if it had been slightly more, you would have seen a slightly higher business generation contribution in the CSM, but you would have not seen the fees on the asset management side that, were part of your second question. Okay.
Matteo del Fante: Let me also add that we also have $70 million more on gross return premium on PNC, the insurance business, which also has value here, and that is growing quite nicely. The trends are exactly the one that we disclaimed and discussed last month on the Capital Markets Day, where we saw that, where we said that we expected revenues in life to be stable to GDP growth, and more vibrant growth in PNC, which is exactly what we're seeing.
Operator: I have no further question. So thank you very much.
Matteo del Fante: Thank you, everybody.
Operator: Ladies and gentlemen, thank you for joining. The conference is now over and you may disconnect your telephones.